Operator: Welcome to Douglas Emmett’s Quarterly Earnings Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. After management’s prepared remarks, you will receive instructions for participating in the question-and-answer session. I will now turn the conference over to Stuart McElhinney, Vice President of Investor Relations for Douglas Emmett.
Stuart McElhinney: Thank you. Joining us on the call today are Jordan Kaplan, our President and CEO; Kevin Crummy, our CIO; and Mona Gisler, our CFO. This call is being webcast live from our website and will be available for replay during the next 90 days. You can also find our earnings package at the Investor Relations section of our website. You can find reconciliations of non-GAAP financial measures discussed during today’s call in the earnings package. During the course of this call, we will make forward-looking statements. These forward-looking statements are based on the beliefs of, assumptions made by and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties and factors that are beyond our control or ability to predict. Although, we believe that our assumptions are reasonable, they are not guarantees of future performance and some will prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations, and those differences may be material. For a more detailed description of some potential risks, please refer to our SEC filings, which can be found in the Investor Relations section of our website. When we reach the question-and-answer portion, in consideration of others, please limit yourself to one question and one follow-up. I will now turn the call over to Jordan.
Jordan Kaplan: Good morning, everyone. Thank you for joining us. We had a busy leasing quarter, executing 1.3 million square feet of leases, an all-time high. I’m especially pleased that we renewed the leases at our two single tenant buildings, including the 456,000 square foot lease at our Studio Plaza property. The occupancy decline this quarter resulted from higher than usual expirations impacting January, including an 89,000 square foot downsize in Warner Center. Since quarter end, we have made good progress in leasing, including backfilling almost two-thirds of the Warner Center downsize. We have only one lease left that is over 100,000 square feet in that submarket. More importantly, we are well-positioned to move up occupancy across our entire portfolio as lease expirations through the end of 2019 are the lowest since we went public in 2006. As Stuart will discuss, our leasing this quarter generated very healthy rent roll up. Demand drivers in our submarkets remained strong with LA County, adding over 60,000 jobs during the 12 months ended in February. Protected by high barriers to entry, we have grown our average in-place rent by 7.2% over the last year, setting another all-time record in every Los Angeles submarket other than Warner Center. In Warner Center, recent rent increases have driven in-place rents to their highest level in five years. Mona will report on our financial results where we achieved another quarter of strong FFO growth. Same property cash NOI growth was impacted by expected timing issues in the first quarter. We remain confident in our same property guidance for the year. We are rapidly leasing up the new units at Moanalua, and in Brentwood, we achieved a notable milestone by breaking ground for our new residential tower. I’ll now turn the call over to Kevin for a capital markets update.
Kevin Crummy: Thanks, Jordan, and good morning, everyone. We continue to ramp up investments in internal growth opportunities with major expansion and repositioning projects across our portfolio. Our two multifamily development projects are in full swing. As Jordan just mentioned, we commenced construction of our 34-storey 376-unit high-rise residential tower in Brentwood. At Moanalua, we ended the first quarter with a total of 104 new units leased with average rents that continue to exceed our pro forma. We expect to complete that project, including a new fitness center and the upgrade of our existing units, around the end of this year. We have also begun construction to reposition four office properties where we think the investment can generate meaningfully higher rents. We expect to complete these projects within a year. We have several more projects in the pipeline and continue to evaluate additional internal investment opportunities. We have a number of potential acquisitions in our pipeline and plenty of dry powder. Our balance sheet remains strong with low leverage, many unencumbered properties and limited near-term maturities. Except for the loan on our Moanalua development, our next term loan maturity is four years away in 2022. With that I will now turn the call over to Stuart.
Stuart McElhinney: Thanks, Kevin. Good morning, everyone. Last quarter, we signed 206 office leases for a total of 1.3 million square feet. As Jordan mentioned that included renewing the leases at our two single tenant properties, which help boost our leasing spreads to 40.4% for straight-line rent roll up and 16.9% for cash roll up. Even excluding those two leases, our leasing spreads were consistent with the strong rent roll up in recent quarters. On the multifamily side, we improved our lease rate to 98.9% as we backfill much of the temporary vacancy in the Honolulu property mentioned last quarter. We expect continued headwinds at our Moanalua community from ongoing construction and a recapture of our previously income restricted units. Over the last four quarters, we have grown rent per leased unit by over 4% in our Los Angeles submarkets and by 1% in Honolulu, reflecting the headwinds we discussed last quarter. I’ll now turn the call over to Mona to discuss our results.
Mona Gisler: Thanks, Stuart. Good morning, everyone. We are pleased with our Q1 results. Compared to a year ago and the first quarter of 2018, we increased revenues by 9.1%; increased FFO 14.7% to $96 million or $0.49 per share. We increased AFFO 1.8% to $71 million. Our renewal leasing volume during the quarter contributed to exceptionally high leasing commissions of $13.2 million. Had leasing commissions been in line with the trend for the prior two years, AFFO would have grown by 14.7%. Our same property cash NOI increased by 1.4%, including expected impacts from the timing of tenant recovery revenues, tenant reimbursements, and lease settlements. As Jordan mentioned, we remain confident in our guidance for same property cash NOI for this year. Our G&A for the first quarter was only 4.5% of revenues, well below that of our benchmark group. Finally, turning to guidance. We are raising FFO guidance for the year to between $1.98 and $2.04 per share. For more information on the assumptions underlying our guidance, please refer to the schedule in our earnings package. As usual, our guidance does not assume the impact of future acquisitions, dispositions or financing. I will now turn the call over to the operator, so we can take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Manny Korchman of Citi. Please go ahead. 
Manny Korchman: Hey everyone. So, with your earnings package last night, you guys put out a presentation and there was a slide in there showing your occupancy versus the market’s occupancy. And what caught our eye here was that the spread that you’ve had in sort of your occupancy versus others has narrowed over time. I was just wondering how much that has to do with you sort of controlling more the market and vacancy versus a more permanent trend?
Jordan Kaplan: Well, I hope it’s not a permanent trend. I don’t think it’s a permanent trend. I think what it’s being driven by is the fact that we recently added millions of square feet of buildings that had most of the vacancy in the market. And we’re working through leasing those buildings up. So, as we keep volumes buildings with vacancy, it takes us a little while to sort of fight it back up. And you can see how those -- like if you look at our buying patterns and you see how that number round out, you’re going to see a correlation there.
Manny Korchman: And then, you took several buildings out of your same store pool as you go and reposition those. I was just hoping if you could remind us how much capital you’re putting into that campaign and where you are in that process.
Jordan Kaplan: Sure. So, we took -- I think, starting this year, we took four buildings out of that pool. The projects -- the capital going into those this year -- not, I’m not talking about TIs or any of the regularly occurring maintenance type stuff for the buildings, the big things, I think a bit over $50 million, although a good -- it’s a bit over $50 million. Go ahead, Manny.
Manny Korchman: Sorry. You broke up there. So, I think you said $50 million... 
Jordan Kaplan: So, it’s a bit over $50 million that we’re putting in those buildings.
Manny Korchman: And where is that process and how long that can take? 
Jordan Kaplan: Well some of those projects will be finished this year and some will flow into next year. I mean, if you drive up and down Wilshire, you’re going to see barriers around a lot of our buildings and construction going on like crazy. We know we’re in a middle of it, because now we’re getting calls from tenants; they are aggravated. Before they were all in a good mode, seeing the pictures of what was coming; now, they are aggravated.
Operator: Our next question comes from John Guinee of Stifel. Please go ahead. 
John Guinee: Years ago, you talked about how you really had a small tenant focus. Therefore, you didn’t move a lot of demising walls. You didn’t have a lot of gut rehabs or full floors et cetera. Can you talk about what happens to TI dollars and how much you have to spend for the big multi-floor givebacks you have in relation to the smaller, sub 10,000 square foot tenants?
Jordan Kaplan: It’s a lot more. I mean, big. Big tenants demand big TIs. I don’t even care -- sometimes I feel like they could look a full floor and go, yes, we just want big TIs because we’re big, I mean, we’re needing to redo it or not. A lot of times, when you pro forma a building, a lot of times, all time, you’ll usually say, new tenants TIs are higher number; TIs for smaller -- for renewals tenants are smaller number. But the real split is, large space, big number; small space, small number on a per foot basis. And as we go through and keep rolling these, and as you’ve heard before, many of the buildings we bought, part of the reason for the vacancy in those buildings were full floors where they were waiting for full floor tenants, we move in and immediately put a corridor and start building out our suites, leasing them up. That’s how we make a lot of gains at these buildings so quickly, because we’re prepared to break the space down and start leasing. More expensive at the front end but since all these buildings we plan a whole long-term, they generate a lot more cash flow over time. And you’ve seen that in the trajectory of our cash flow over the last few years, if you’re going back a ways. You saw on our call, we mentioned that it’s happening at Warner Center. We’re down only one tenant that’s over a 100,000 feet. Nobody likes losing big tenants but we are through a huge portion of the conversion that we had to start going through in the recession and are now able to make gains without getting sort of torpedoed from the side every once a year or whatever it may be with a large tenant, either dramatically shrinking or moving out. So, we feel very good about that direction in our portfolio, even though it is much more expensive to roll those guys.
John Guinee: The next question is, you mentioned four assets out of service, $50 million of capital. Does that level of capital trigger a tax-free set in California or are you able to not trigger a tax reset?
Jordan Kaplan: It doesn’t trigger a tax reset because you could remodel or reposition. That’s not a reset on taxes from a Prop 13. What resets taxes, if we increase the square footage of the building, then they would go, oh, larger building, whether it’s nice or worse, whatever they don’t care. That’s how they come in and reassess.
Operator: Our next question comes from Alexander Goldfarb of Sandler O’Neill. Please go ahead.
Alexander Goldfarb: So, two questions. First, I understand the pressure on the payroll side on the expenses but on utilities, could you just provide a little bit more color? I don’t recall or maybe my memory is just bad, but I don’t recall when oil was up about at 100, you guys having similar pressure. But maybe you could just provide a bit more color on what’s going on, especially with Hawaii and why it’s an issue now and it wasn’t when oil was a 100? And then, overall, given payroll and utilities seem to be growing issues this year, what’s going to make them be better so that your same store NOI guidance you feel comfortable with?
Jordan Kaplan: So, we feel comfortable with our same store NOI guidance right now, as we sit here. We knew what was coming on energy. So, so when you say when oil was at a 100, so when you say same store, you’re talking about comparison over prior periods, so that’s change in price. So, for instance, if oil stayed at a 100 for the next 10 years, it would play no role in impacting our same store. What actually happened was we got for many years and we’re still getting it, I think we did 2.5% last year, but for many years we got huge gains out of reduction in the amount of energy we used through programs across the portfolio. Now, for a bit of time during then we saw run-up in oil prices, particularly in Hawaii, because after the reactor accident in Japan, it turned out that Hawaii and Japan to run their oil generated energy -- energy generators, they happen to use this same type of oil, that’s a special type of oil, rare type. So, all of a sudden, they were trying to buy the same oil that they were buying in Hawaii and it ramped prices up a lot because it’s not a very -- it’s not made a lot, and there’s a narrow market for it. Now, then, things kind of stabilized, we stabilized at actually a pretty good number for energy costs. Now, energy costs are running up again. So, you’re seeing a change in the cost of running our business. I would say overall, we’re still probably paying less for energy than we did some time ago, but -- and they are in Hawaii, they are also starting to look at making modifications to their equipment and you would say oh that’s good, the modifications are bringing down the costs, instead they’re passing through those capital costs and raising the rates to us. But all that’s a matter of change. It just stayed 100, then wouldn’t be talking about it; if stayed at 50, we wouldn’t be talking it. The fact that it went -- went down and now it’s moving up is why we’re talking about it. Now, we’ve been able to not have been impacted by the rise, because we’ve been lowering our usage, but it rose faster than we reduced our usage last year and that’s why we’re being impacted by it this year. Next year, it can go down. Therefore, it’d be a plus. Now, in terms of payroll, payroll is pretty predictable. We -- there’s a kind of move across the country in terms of minimum wage, there’s a stronger move in California about minimum wage, and there’s even a stronger move in the county of Los Angeles about minimum wage. So, we’re right in the hottest spot for minimum wage to move up the fastest. When minimum wage moves up, the people above move up to a certain point, and that’s impacting us and a lot of those people since we directly employ, do almost all of our services ourselves, are on our payroll . So, you don’t see it netted in our revenue number. Those people are being paid for by us or by us through a vendor which we have control of our vendor relationships. And so you’re seeing those costs pass through to us, it’s being -- it’s statutory; there is nothing we can do about it. But, that doesn’t mean, we don’t have good visibility, we have great visibility because we know what the legislation is and we know how those numbers are going to move. So that’s why we have a lot of confidence in how it’s going to impact our numbers this year.
Alexander Goldfarb: Okay. So, the same is on utilities, do you think that that will improve?
Jordan Kaplan: I think that we have a good feel for where utilities are going to be this year over next year. But you know what? A lot could happen with utilities. Oil could go down again, and then utilities, the net price could go down and there could be an improvement. I have a good feel that every year we find ways to reduce our utilization, but I -- if you’re saying a good feel for what oil prices are going to do, where they’re going to change or remain flat, I don’t have any better feel than people just speculating that.
Mona Gisler: And Alex, in Hawaii, the PEC announced the first hike in electricity in six years. So that’s something we had visibility to, but that’s an increase that’s going to be impacting us.
Alexander Goldfarb: Okay. And then the second question is, on Burbank, you re-leased Time Warner there. So, that’s fully leased now. There seems to obviously be a hot market for dispositions and people to buy assets. You guys only have one asset in Burbank. So, now that it’s fully re-let, is there a consideration to selling that asset or is that a market you think you can grow in?
Jordan Kaplan: Well, I think it’s a very good building and it’s a building that we’ve made a lot of money with over a long period of time. So, when we look at whether we want to sell something, we have to think, can that building make more -- is it flattened out in its earning capacity or is its earning capacity good and strong over the long haul. Our inclination is the key properties not to trade up. I still feel that’s a very good property and we’re real comfortable with what we have invested there and real pleased to have a great tenant in there.
Operator: Our next question comes from Nick Yulico of UBS. Please go ahead.
Nick Yulico: Thanks. So, going back to Warner Center, could you just talk about the types of tenants that are driving the leasing there? And whether tech is at all migrate up there? I know, you’ve spent some time with, I think branding and brokers trying to get more of a tech presence up there. And then, also just in terms of the -- how was the mark to market on the Warner Center leasing specifically?
Jordan Kaplan: Hey, Nick. So, on the Warner Center, kind of the tenants in Warner Center, we actually have seen tech go out there. We’ve seen some entertainment folks go out there to, Warner Brothers moved -- or Warner Music moved out there a few years ago. We do have several kind of more of the mature tech companies out in the Warner Center market. Facebook actually moved out, not to Warner Center, but a nearby market in the valley , took a big chunk of space out there recently. So, we have seen the migration of tech tenants out there as well as kind of our standard group of tenants that we see in our core portfolio. Activision went out to Warner Center as well. So, we are seeing that. And then, your second question was on roll up. We don’t break out roll up between the submarkets. I think, we’ve been pretty clear in saying that the rent growth in Warner Center given their occupancy there hasn’t been what it’s been on the west side. So, you’d expect the roll up to be more muted there than what we’re getting on the west side.
Nick Yulico: And then, just secondly on the acquisition market in LA. I think, Kevin, you cited looking at some opportunities. What do you guys think about Santa Monica Business Park trade that happened? And is there much of size that’s actually available to purchase in LA right now?
Kevin Crummy: So, I would say, look, Santa Monica Business Park was an outsized transaction for our market. The typical transactions are more in call, the $75 million to $150 million type of range. And so, that was a large transaction that was very competitive. And we’re seeing a lot of things in the pipeline that are in the more traditional range. The funny thing as we’ve had some very strong pricing on some assets. And typically you would think that that would slowdown investment activity, but it actually brings more product to market as owners that are looking at their assets, say wow, that’s pretty strong pricing, maybe I should take advantage of this. And so, the activity is generating more things in our pipeline and the acquisitions team is busy underwriting things.
Operator: Our next question comes from Jed Reagan of Green Street Advisors. Please go ahead.
Jed Reagan: Hey, good morning, guys. Maybe just a follow-up to the last question. I mean, have you seen any changes in cap rates or pricing in your core markets recently, especially West LA? And also curious just kind of the pace of year-over-year net effective rent growth you’re seeing in west LA these days?
Kevin Crummy: Well, I’ll touch on the cap rate piece. Our market typically doesn’t price on a cap rate basis. I mean, people recognize -- it’s no secret that there is a lot of constraints to new supply here as opposed to say New York City where transaction volume dropped of pretty dramatically last year. So, everybody recognized that there was a lot of new product on the Westside. We were wondering how that was going to impact Six Avenue. And so, it’s more of a by the pound market and the by the pound pricing has moved up. Jordan, do you want to talk about the rental rate growth.
Jordan Kaplan: So, it’s funny, because I was talking to Ken this morning, almost about this exact same subject. We were going through like, effective, net effective, what’s going on with rents, not looking put quarter-to-quarter, year-to-year but we were actually looking back a number of years. And if you look back a ways, effective, net effective, I feel little better on the net effective. But, the growth has been spectacular, like you would have never thought it would have grown that fast, if you’re making a prediction. So, we were trying to think about like where things are going, where occupancy in the market is et cetera. We’re very optimistic about where things are going. And some -- a good chunk of that optimism comes from not only looking at the occupancy in the Westside markets but also looking at our going forward, which we made mention -- it might have been in our prepared remarks or might have been in our executive summary. But we mentioned that, when we look out through the end of 2019, we have a very controlled role, which gives a lot of opportunity to make gains. We’ve gone through a period of time when we’ve been moving tenants a lot. We’ve done a good job of retaining them in the portfolio but we’ve been moving them around a lot, which has -- which still comes frictional vacancy, especially frictional loss in rent, right, during that moment in time. And as we look forward, we’re kind of saying, wow, we’re going into at least for the next, call it seven quarters are of looking out to where you can kind have a feel for this, a very good period of time for the company.
Jed Reagan: Okay. That’s helpful. And then, I guess just sort of generally, would you say -- is it fair to say that kind of rent growth decelerated in the market, recently?
Jordan Kaplan: I think it’s fair. I think face rates are probably -- face rates decelerated a little bit and that’s why we were having this conversation. I don’t think net decelerated, no. I think that the effectives or the nets actually are kind of catching face. So, when rents move up in a market, especially when some of this has been drained on market, but we add owners in the market that were pushing very high face rates, but maybe there was a very big spread between face and effective or net effective. Now, we’re very large owner in the market and we have no incentives to post a big face rate versus effective rate. And so, the two numbers are collapsing on each other, and fortunately collapsing upward toward face rate. And therefore, we like that trend and that was the trend -- we not only are discussing but emailing Stuart and getting information back and forth to really look and see if we’re right, and I think we are right.
Jed Reagan: And that’s because concessions are…
Jordan Kaplan: It’s concessions, it’s TIs, it’s concessions burning off from a former time that was spread. It’s a lot of stuff like that.
Operator: Our next question comes from Craig Mailman of KeyBanc Capital Markets.
Laura Dickson: Hey, everyone. This is Laura Dickson here with Craig. So, last year, you perused some opportunities to delever. Wondering what your thoughts are on issuing equity here ahead of any acquisition opportunities.
Jordan Kaplan: We’re -- just in general, our history is that we’re not big equity issuers. The dilution is painful and a trade that we have not enjoyed. I mean, it took -- the equity we issued last year, took a very special cooperation or set of circumstances that all came together and said, this is an opportunity to substantially delever the company and recapture. We have done a lot of volume; we have done a lot of stuff. We want to be well-positioned for stuff going forward. It was an opportunity and the payoffs of more expensive debt that it come from -- that we could do cheaply for nothing. And so, we took that opportunity. In general, it would be -- it’s generally pretty very unique circumstances that would cause to issue equity. We have a lot of liquidity in general and we have a lot of cash flow and capacity. And then, we also have a very robust set of relationships in our sovereign platform. So, we can buy very large deals, take, if we need to, only 20%, 30% of that deal, and up in controlling grade assets without having diluted ourselves through the issuance of equity. So, it’s -- that’s very well on the list.
Laura Dickson: And then -- and separately, given competition from new supply in LA, in your multifamily portfolio, you’re running at pretty high occupancy. Has rental rate growth moderated or do you expect it’ll moderate in the coming quarters?
Jordan Kaplan: So, we’ve -- I’ve expected for five or six years that rental rate growth will moderate. I have been stunned that -- we’ve been running the last few years over 5%, 5%, 6%, I mean, wild numbers, which is when -- if it’s in office, okay, those don’t even roll for every five years. But when you’re talking about in residential where the leases roll every year, it’s really felt. And I have been surprised at how it’s been moving. I think it has moderated a bit, but it moderated a bit about four quarters ago, and I thought okay, we’re going to go back to a normal three, four, whatever that case maybe and then it went back up. So, it’s hard to predict.
Laura Dickson: And just one quick one regarding the multifamily developments. Can you remind us what expected yields are on those two?
Jordan Kaplan: We’ve said a few times, we’ll be -- we’re building them for above a seven cap rate.
Operator: Our next question comes from Mitch Germain of JMP Securities. Please go ahead.
Mitch Germain: Maybe one for Kevin. Are you seeing any new pockets of capital, maybe foreign or private equity in the market that you’re bidding against now?
Kevin Crummy: That we’re bidding against? I would say that there’s more capital that’s been attracted to LA, just given the fundamentals here. And so, we are seeing and -- some Japanese capital that was kicking the tires in New York and now it’s starting to kick the tires out here. So that’s something new. And they actually -- the Japanese group had bought that long-term Google lease down in Playa Vista last year. So, there’s more follow-on to that. But, it’s a competitive market out there. I don’t think any one source of capital is -- we don’t worry about the foreign guy, the high net worth guy or a REIT competitor anymore than anybody else. It’s a competitive market. And for the assets that we focus on where we can leverage our platform, I think that we can come out on top.
Mitch Germain: And then, just the four assets that are undergoing repositioning right now, if you could just remind me what kind of return potential are you expecting on those projects?
Jordan Kaplan: Returns for the repositioning are -- for right [ph] are extremely high, because if you think about, you have a 400,000 foot building, you put in $15 plus million, $15 million to $20 million, even if you are -- you’re absolute low end and only move rents $0.25 or $0.25 to $0.50, it’s a colossal return on that money. I mean, you’re in the 20s of IRRs. And if you can move rent up to a buck, it’s almost absurd, which is something that in a market we’re in now, which differentiates a lot, differentiates between markets, differentiates between buildings, that creates that opportunity. If you’re operating in a recession, then everyone is bidding on rental rate. And when everyone is bidding on rental rate, it flattens out rents across buildings and across markets. So, when you see people put money into repositioning in a recession, they’re really just doing it to gain occupancy. They don’t really gain a lot in rental rate. When you see people put money in to repositioning in a good market, they’re doing it to increase the revenue in the building per square foot and that’s what we’re doing.
Operator: Our next question comes from Rob Simone of Evercore ISI. Please go ahead.
Rob Simone: Hey, guys. Thanks for taking the question. One of the questions I had has been answered already. So, I just wondered if you guys could comment little bit as it relates to your developments on construction cost increase that you’re seeing. We’re obviously hearing the massive increases year-over-year, pretty much in every sector we cover. And I know obviously you guys took up the development budget for your resi project two quarters ago, I believe. So, I just wanted to see if things are kind of trending according to your most recent expectations or what should we expect there?
Jordan Kaplan: I think, we’re generally on in terms of our budgeting, but we took quite a while and went through a lot of more shenanigans than was expected in Hawaii in terms of getting that project started. And I think that time that it took there that definitely caused us to when we actually started, got the work. And here, obviously, what’s happening with labor and all of that, I mean, it’s increasing the cost. I’m not sure if the cost increases are meaningful enough to change opinions or make big even impacts on where we think we’re going to come out in terms of returns on the project. But they’re definitely in an upward direction. In a lot of markets, you’ll track the cost of construction because you’ll sort of have confidence that when construction cost gets to a high level, people stop buying, and you get some relief from the supply coming on. We don’t really have a lot of new supply coming on. So, construction costs, when you can build, because we’re in a very supply constrained market usually aren’t the gating issue. It has more to do with kind of where rents are and whether the rents are moving kind of your way than construction costs.
Operator: Our next question is a follow-up from Jed Reagan of Green Street Advisors. Please go ahead.
Jed Reagan: Hey, guys. Just a couple of quick follow-ups on the assets taken out of the same store pool. One question is, so I mean, if you were leaving those assets in the pool this year, would that change same store guidance or occupancy guidance at all?
Jordan Kaplan: Well, the short answer is I don’t know. But, I could say that if we kind of had everything in, I suspect the number would be stronger than as we sit today because we’re doing a lot of work in markets where as I just said, there’s a lot of rent differentiations -- a lot of rent differentiation because rents are moving quickly. So, they’ve been pretty positive contributors.
Jed Reagan: Okay. And this is mostly like Westwood and Brentwood if I’m…
Jordan Kaplan: It’s a lot of Westside stuff. Yes.
Jed Reagan: Okay. And I’m sorry if I missed this earlier, but before you’ve already identified, I mean behind that, how big is the pipeline of assets that you might be looking to do something similar with?
Jordan Kaplan: I think there’s a lot of opportunity on all three fronts where we’re kind of growing that development or redevelopment of our existing portfolio, which is number one, to build additional residential ground on sites that we already own; number two, to reposition buildings that are geographically a fantastic locations, but we can make adjustments, or reposition the lobbies, the grounds around that, the amenities that support the building and change the rental rates that we get in the building. And then, number three, community focus benefits, parks or other types of things in areas where we have 70 plus penetration on the office, maybe or where we have a lot of residential. Where we can do some and change the feel of the area and just get benefits because we’re such large owners in those areas. All three of those have a way more opportunity beyond what we’re doing now and very high -- if our estimates are anywhere near close, very high returns for the capital that we’re putting in. We’re not real quick to do everything at once. So, we have that going on where we’re building, we’re repositioning. We’ll look and see where we are right, where we are wrong, what happened with rents here, what happened to rents in the neighboring buildings, how fast the rents go up in our building. We’ve rebuilt the park, located that change to field this area. Kind of comments that we are getting back from tenants are more tenants wanting to be in this area because this year because -- you can go down there launch and we have food service trucks out there. Whatever we happened to have we will gather that information but we have large opportunity if the data comes in the way we expect.
Jed Reagan: Okay, great. I appreciate that. And then just last one, because topic came up earlier on the expense growth which obviously was little elevated especially on the multi-family side on a year-over-year basis. Is that kind of 9%, 8, 9% apartment expense growth, 4% to 5% for office. Is that a detailed sort of run-rate to think about for the rest of the year?
Mona Gisler: There were some timing issues that impacted multifamily that I wouldn’t expect to see going forward. So, the payroll and the utility is definitely something we anticipate for the balance of the year. But there were some other repairs and scheduled services that impacted Q1 heavier than typical.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jordan Kaplan for any closing remarks.
Jordan Kaplan: Well, thank you everybody for joining us and we look forward to speaking with you again in a quarter.